Operator: Good afternoon. Welcome to the Amprius Technologies, Inc. Fourth Quarter and Full Year 2025 Earnings Conference Call. Joining us for today's presentation are the company's CEO, Thomas Stepien, and CFO, Ricardo Rodriguez. At this time, all participants are in listen-only. Following management's remarks, we will open the call for questions. Please note that this presentation contains forward-looking statements, including, but not limited to, statements regarding our financial and business performance, our business strategy, future product development or commercialization, new customer adoption and new applications, our growth and the growth of the markets in which we operate, and the timing and ability of Amprius Technologies, Inc. to expand its manufacturing capacity, scale its business, and achieve a sustainable cost structure. These statements involve known and unknown risks, uncertainties, and other important factors that may cause Amprius Technologies, Inc.'s results, performance, or achievements to be materially different from any future results, performance, or achievements expressed or implied in such forward-looking statements. For a more complete discussion of these risks and uncertainties, please refer to Amprius Technologies, Inc.'s filings with the Securities and Exchange Commission. This presentation includes a non-GAAP financial measure, which is adjusted EBITDA. This non-GAAP financial measure does not replace the presentation of Amprius Technologies, Inc.'s GAAP financial results and should only be used as a supplement to, not a substitute for, Amprius Technologies, Inc.'s financial results presented in accordance with GAAP and may not be comparable to calculations of similarly titled measures by other companies. A reconciliation of adjusted EBITDA to net loss, the most directly comparable GAAP financial measure, is included in our press release, a copy of which is filed with the SEC and posted on our website. Finally, I would like to remind everyone that this conference call is being webcast and a recording will be made available for replay on the company's Investor Relations website at ir.amprius.com. In addition to the webcast, the company has posted a press release that accompanies these results, which can also be found on the Investor Relations website. I will now turn the call over to Amprius Technologies, Inc.'s CEO, Thomas Stepien, for his comments. Sir, please proceed.
Thomas Stepien: Welcome, everyone, and thank you for joining us this morning. Let's start with Slide two. 2025 was a landmark year for Amprius Technologies, Inc. Our second generation SiCore silicon anode batteries gained broad adoption with many unmanned aerial vehicle customers. One recent win I would like to highlight is Nokia Drone Networks, whose commercial drone-in-a-box system is one of the most capable platforms on the market. Amprius Technologies, Inc.'s balanced cells provide Nokia drones with the burst power needed for takeoff and the sustained energy required for extended flight, ensuring obstacle avoidance, return to home, and other safety-critical subsystems remain powered throughout the mission. Our technology enables drones to fly longer, carry more, and operate in conditions once considered impractical, helping customers improve safety, reduce downtime, and increase mission value. In early January, we were honored to receive a Best of Innovation Award at CES. Our silicon anode lithium-ion battery was selected from the thousands of entrants for delivering an industry-leading 520 watt-hours per kilogram. For perspective, that is nearly twice the energy density of conventional graphite-based lithium-ion cells. Our cells are lighter, longer, and stronger. In December 2025, the U.S. updated the National Defense Authorization Act. Under the revised NDAA, batteries used in Department of War UAVs must meet two sourcing requirements. First, final battery assembly must be conducted by a non-foreign entity of concern, typically located in the United States or in an allied nation. Second, functional cell components must not be sourced from or produced by FEOC. For new DOW acquisition programs, both of these requirements must be met by 01/01/2028, approximately 22 months from now. NDAA is important in the context of our contract with the Department of War's Defense Innovation Unit. Awarded in July 2025 through a competitive solicitation from the 2024, the contract was recently increased and now totals $14,800,000. The DIU contract provides prototyping funds for Amprius Technologies, Inc. to accelerate production of NDAA-compliant SiCore pouch cells used in military unmanned autonomous systems. The contract includes milestones for supply chain diversification, pilot line expansion in Fremont, California, and the selection of NDAA-compliant contract manufacturing partners. Amprius Technologies, Inc. is ahead of schedule on NDAA compliance. One of our South Korean contract manufacturing partners has been delivering cells to customers since September 2025. We have expanded the Amprius Technologies, Inc. Korea Battery Alliance to three contract manufacturing partners, and in early January, we announced our first U.S.-based partner, Nanotech Energy, located in Northern California. I am happy to report that our scorecard for the battery component sourcing is 11 out of 11. All internal SiCore components—anode, cathode, electrolyte, separator, and seven additional elements—are now sourced from primary and secondary suppliers in NDAA-compliant countries. We are prepared to supply domestic cells to customers such as L3Harris Technologies, which delivers integrated solutions across space, air, land, sea, and cyber in support of national security. On the financial front, we completed our aftermarket financing facility during the fourth quarter. We also fully exited our Colorado facility and settled the remaining lease and expense obligations. Fourth quarter revenue reached a record $25,200,000, representing an 18% quarter-over-quarter improvement and a 137% year-over-year increase. Gross margin improved to 24%, a nine percentage point increase quarter over quarter and a 45 percentage point increase year over year. Full year 2025 revenue reached $73,000,000, 3x our 2024 level. Gross margin for the year was 11%, up significantly from the minus 76% in 2024. Later in this call, Ricardo will share additional financial details and color. Now turning to Slide three. Amprius Technologies, Inc.'s customers choose our batteries because they materially improve the performance of their products. By replacing standard graphite-based cells with our silicon-based cells, customer drones achieve significantly longer flight times. One way to think about our batteries is through the analogy of espresso. Espresso delivers the same amount of caffeine energy as a standard cup of drip coffee but in a much smaller volume. And if you match the volume and weight of the two, espresso gives you roughly twice the energy. Drone customers tell us this consistently. Amprius Technologies, Inc. batteries extend their flight time. In many cases, flight times double. Amprius Technologies, Inc. Xpresso batteries give customers the extra energy they need to elevate system performance. We elevate without compromise. The Amprius Technologies, Inc. silicon anode platform spans 22 cell designs across multiple chemistries, pouch and cylindrical formats, and a range of sizes. We have tuned and optimized cells for specific customer duty cycles, giving us the precision to deliver ideal solutions for energy-focused missions, the takeoff power required by air taxis, and applications demanding high cycle life. This tunability is a significant differentiator for Amprius Technologies, Inc. Slide four looks at our market segments. We serve five principal end markets. The first is UAVs, including drones used for defense, public safety, security, and logistics. Defense platforms that require high energy density typically support long loiter missions and are primarily ISR—intelligence, surveillance, and reconnaissance. Public safety drones are typically DFR—drone as first responder—systems integrated directly into 911 emergency workflows. In the U.S., more than 1,500 emergency departments now operate DFR programs as a part of real-time response operations. Drones are pre-positioned in fixed launch stations across the city and are dispatched automatically or semi-automatically the moment a 911 call is received. The objective is to get a camera over the scene in under two minutes, well before police, fire, and EMS units can arrive. Market segment number two is satellites and space. Satellite launch providers charge customers by the gram, making our ability to deliver the same energy at roughly half the weight—our espresso advantage—extremely valuable. Alto, a division of Airbus, is a long-standing customer in this segment. Its Zephyr high-altitude pseudo satellite are solar-powered aircraft that operate at 70,000 feet for months at a time. The persistent ISR capability that Zephyr provides is strategically important for both defense and commercial applications. Amprius Technologies, Inc. cells are also gaining strong traction in light electric vehicles—e-motorcycles, scooters, and e-bikes. Wins in this segment typically align with the launch of new models, so revenue tends to be lumpier than in other markets. This category also includes a healthy replacement and range extender sub-segment, an area we are beginning to explore. Robotics is our fourth market segment, and while still early, it is developing quickly. Robot performance is closely tied to battery capability, and Amprius Technologies, Inc.'s tunable cells can deliver both the high power needed for tasks like lifting and the energy required to maximize time between charges. With strong growth rates and expanding use cases, this segment is highly promising. The final segment that depends heavily on our industry-leading energy density is the electric vertical takeoff and landing aircraft, eVTOL, and other advanced air mobility. Customers are developing autonomous, point-to-point regional transport for both passengers and cargo. Several companies are currently testing our cells, and we have a customer-funded joint development program underway with one leading company. In this program, we are tuning our chemistry to meet the specific power and energy requirements of their aircraft. Turning to Slide five. Amprius Technologies, Inc. captures customer interest through our flexibility. We work closely with customers to understand their energy, power, and cycle life requirements, then select internal components that meet those needs while aligning with country of origin constraints. Because SiCore cells are produced on standard lithium-ion equipment, we can secure early design wins from our California pilot line and seamlessly transfer cell recipes and process steps to our contract manufacturing partners as volumes scale. During Q4 2025, we introduced three new cells to our silicon anode platform and retired one. The portfolio now stands at 22 designs spanning energy, power, and balanced cells in both pouch and cylindrical formats. We continue to offer the tunability, speed, and flexibility our customers rely on. Now turning to Slide six. Increasingly, customers care about the country of origin for both battery cells and internal components. Much of this is driven by the NDAA requirements discussed earlier, and the impact now extends to non-defense customers as well. Avoiding foreign entities of concern has become a compliance mandate, not just a marketing detail. Procurement teams are asking detailed questions about where cells are manufactured, where anodes and cathodes are processed, and where critical minerals originate. Fortunately, we anticipated this shift and began executing more than a year ago. In 2025, we announced our first NDAA-compliant contract manufacturer in South Korea, which delivered cells to customers just one quarter later. Last week, I was in South Korea with several of my Amprius Technologies, Inc. colleagues visiting component suppliers, checking in with current contract manufacturing partners, supporting new partners coming online, and meeting customers at our booth at DroneShow Korea. We still have work ahead on the NDAA supply front. With multiple contract manufacturers, 22 cell models, and 11 internal components, aligning every variable is operationally intensive. But we got an early start, we invested wisely, and we consistently share our progress with customers. They understand our roadmap, for both cell manufacturing and for cell content sourcing, and they respect our ability to deliver the right cell from the right location at the right time. On Slide seven, we present our high-level cell roadmap. The Amprius Technologies, Inc. roadmap highlights our industry-leading energy density on the vertical axis over the next 18 months. It organizes our portfolio into three cell types: high energy cells, where long uptime drives range and usability—key segments here include drones, robotics, and LEDs; high power cells, which deliver short, intense power bursts—applications include power tools, data center backup systems, and aviation platforms such as eVTOLs and drones that require power pulses for takeoff and landing; and long-life balanced cells designed for applications that demand both power and energy along with extended cycle life—these include eVTOL, satellite, and bendable device applications. We routinely share this high-level roadmap and the detailed information behind it with customers. We listen closely to their needs, incorporate their feedback, and adjust the roadmap as required. I will now turn the call over to Ricardo Rodriguez, for the financial results. Thank you, Tom, and good morning, everyone.
Ricardo Rodriguez: I am very happy to be reporting another record-breaking quarter on behalf of our team, starting on Slide eight. In the 2025, we delivered $25,200,000 of revenue. This translates into 18% growth over the third quarter and is over 2.3x higher than the same quarter last year. I am particularly excited about crossing the $100,000,000 annual revenue run-rate mark, which positions us to deliver over $1,000,000 of revenue per employee, joining a very selective and unique group of companies. Echoing Tom's remarks, clearly the monster role technical edge has continued driving demand for our products as we broadened the portfolio and expanded our capacity in close collaboration with our manufacturing partners. For the year, our revenues were $73,000,000, in line with our expectations and just over three times higher than 2024. Our Q4 cost of goods sold, at $19,300,000, did not increase at the same rate as the revenue, thanks to a favorable product mix and higher volumes. This enabled gross profit margins of 24%, a significant improvement over our Q3 gross margin of 15%. Our lower SiMax line mix was now below percent of revenues, providing a powerful driver of our gross margin improvements. For the year, gross margins were 11%, reflecting a step-change improvement over negative 76% gross margins in 2024 as our revenue from SiCore increased around the world. Our resourceful culture enabled the team to only spend $8,900,000 of OpEx, which excludes a one-time charge of $22,500,000 linked with our decision to not develop a facility in Colorado and the decommissioning of some equipment in Fremont. The quarter-over-quarter increase in OpEx of $900,000 was driven by a targeted investment in our sales and go-to-market efforts along with the reallocation of some R&D expenses from cost of goods sold to OpEx as development services agreements are completed. These expenses, including the one-time charge of $22,500,000 that I mentioned earlier, bring our Q4 operating loss to $25,400,000 compared to an operating loss of $4,700,000 in the prior quarter. Without the one-time charge, our operating loss would have been $2,900,000, which would have reduced our operating loss by 37% quarter over quarter. A similar dynamic applies to our annual operating loss of $46,600,000, which would have been $24,100,000 without the same one-time charge and the 48% reduction of the operating loss of $46,200,000 from 2024. Our GAAP net loss for the third quarter was $24,300,000, or negative $0.18 per share, based on 132,100,000 weighted average shares outstanding. Without the one-time charge, our loss would have been only $1,900,000, or $0.01 per share. In Q4, we recorded adjusted EBITDA of negative $1,800,000 compared to negative $1,400,000 in the prior quarter. With $1,600,000 in operating costs from Colorado, we would have actually had positive adjusted EBITDA of $177,000 in 2025. As a reminder, we define adjusted EBITDA as net income or loss before interest, taxes, depreciation, amortization, stock-based compensation, and other items that we do not believe are indicative of our core operating performance. In Q4, these adjustments included $1,200,000 of depreciation, $1,900,000 of stock-based compensation, $1,100,000 of interest and other income, along with $1,600,000 of quarterly operating cost linked to the Colorado facility. If we adjust our EBITDA for the costs that we will now not be incurring in Colorado, our adjusted EBITDA in 2025 would have been negative $5,300,000, reducing our EBITDA loss by 77% year over year and putting us on a path to have positive adjusted EBITDA above our current revenue run-rate. As of the 2025, we had 134,500,000 shares outstanding, which was up by 4,100,000 from the prior quarter. The change includes approximately 2,300,000 shares issued from option exercises and RSU vesting along with 1,800,000 shares issued under our at-the-market offering program. Now turning over to cash flow and the balance sheet. We ended the third quarter with $90,500,000 in cash and no debt. The main drivers of cash flow in the quarter were the following: $13,500,000 used in operating cash flow was mainly driven by a near-term $1,800,000 increase in accounts receivable and a $2,100,000 increase of inventory. $2,240,000 of Q4 investments that are being funded by the Defense Innovation Unit, or DIU, as part of our project to stand up NDAA-compliant pilot and manufacturing lines. This brought our total CapEx in 2025 to $4,400,000. And lastly, $23,100,000 from financing activities consisting of $19,600,000 from the issuance of common stock under our at-the-market sales agreement and $3,500,000 of proceeds from warrants and option exercises. As we announced on January 12, we have now terminated our at-the-market offering program. Before I turn the call back to Tom, I would like to take a moment to frame out our outlook for 2026 and the North Star beyond that using Slide nine as the backdrop. With what we know today, we believe that by leveraging our platform and existing relationships, we can deliver at least $125,000,000 of revenue in 2026, which would enable us to have our first full year of adjusted positive EBITDA of at least $4,000,000. This baseline level of profitability would translate into a net loss of $8,000,000 for the year, or $0.06 per share, assuming 134,500,000 shares. When we say at least, we mean that we believe that while we are positioned to deliver additional upside, we would rather size this incremental opportunity as it happens than commit to delivering it as we work our way through what can be a great year for Amprius Technologies, Inc. Our CapEx for the year will be less than $10,000,000 as we have made a decision to strategically invest in diversifying our supply chain and expanding manufacturing capacity within our Fremont facility to include electrode manufacturing. As noted earlier, we are doing this in collaboration with the U.S. Government Defense Innovation Unit and have secured a contract for $14,800,000. With what we know today, we expect this funding to cover most of our capital over the next several quarters as we work to develop a growing and resilient source of supply in a dynamic trade environment. Last month, alongside the announcement of our agreement to produce cells with Nanotech Energy in the U.S., we also reported that we eliminated a lease and related expense obligation of over $110,000,000 in Colorado by settling it for $20,000,000. As a result, you can expect our cash position in Q1 to decrease by that amount, along with the reduction of $13,400,000 in right-of-use assets and the $33,200,000 reduction in near-term liabilities in our balance sheet. In forecasting our cash burn, we believe that our current revenue level and even slight improvements from these can put us on a path to mainly consuming cash for working capital versus funding operating expenses in the near term. Looking further ahead, we believe that as we work through 2026, it will become increasingly clear that our plans to build an efficiently scaled, multi-market leader that sets the technical pace in high energy and density power cells are realistic. As we close out the decade, we are targeting making the most of over $600,000,000 of contracted capacity by enabling our customers’ most mission-critical duty cycles and positioning us to deliver over 30% gross margins. By maintaining our resourceful culture and low-cost structure, we can then translate that into at least 20% EBITDA margins. Most importantly, the capabilities in go-to-market, product development, quality assurance, and enabling scale that we would have by then would position us for additional growth beyond 2030. That opportunity has our team energized and motivated to work together to meet and hopefully even surpass these goals by improving ourselves and how we work. With that, I am happy to turn the call back to Tom for his closing remarks. Thank you very much for your attention and continued support.
Thomas Stepien: 2025 was a very strong year. We delivered consistent quarter-over-quarter revenue growth, expanded our customer base to more than 550, demonstrated state-of-the-art technical performance, and achieved three consecutive quarters of positive and growing gross margin. The lithium-ion battery market is intensely competitive, and we embrace those challenges. In 2026, we remain focused on delivering next-generation silicon anode performance that raises the bar for energy density and sustained power without compromising safety or reliability. We are equally committed to meeting the cell manufacturing and content country of origin requirements our customers expect. We will broaden our product portfolio to unlock new market opportunities and convert a growing number of customer engagements into formal qualifications and deployments, particularly across mobility-centric platforms. We are starting 2026 in a financially clean position, having completed our ATM program, fully exited the Colorado facility, and transitioned all legacy SiMax Generation One customers to our Generation II SiCore platform. We are incredibly bullish about the opportunities in front of us. We look forward to meeting and reconnecting with many of you as we participate in a number of upcoming investor conferences. Thank you for your continued interest and support of Amprius Technologies, Inc. With that, I will turn it back to the operator for questions.
Operator: Thank you. We will now open for questions.
Ricardo Rodriguez: I ask you please limit yourself to one question and one follow-up.
Operator: The first question is coming from the line of Eric Stine with Craig Hallum. Please proceed with your question.
Eric Stine: Hi, Tom. Hi, Ricardo. So curious—maybe if we could start just with the selection of the 11 components. I mean, a quite significant step. But just curious, you talked about it a little bit, Tom, but just maybe a little bit more in-depth about what you need to do now, what some of the steps might be in 2026. Obviously, you have got a head start, but those steps as you work towards gaining that full compliance, and I would assume you are trying to do that well in advance of the 01/01/2028 date.
Thomas Stepien: Yes, good question. So we have technically selected anode, cathode, electrolyte, separator, and [other elements] that make up the internals of our battery and give us the internal performance that we talked about. We have primary vendors and secondary vendors. It went through a pretty rigorous testing process. This all started with the DIU project back when it started in July '25. So we have had six, eight months to turn the knobs here. So we are happy with the performance of the cells with the different internals. In fact, in some cases, we see slightly improved performance compared to the legacy components. So that is where we are. The work that remains includes productizing and getting all of those new suppliers under multiyear agreements. Part of what I was doing in South Korea last week is talking to some of those suppliers because Korea is, outside of China, probably the second largest country in terms of suppliers. There are ones in Japan. There are suppliers here in the U.S., etc. So we need to put those agreements in place, make sure that we can operationalize it, get them to deliver their components to our contract manufacturer. So there is some operational work. There is some supply chain work that is still on our plate to complete to finally deliver full cells at quantities that our customers are demanding.
Eric Stine: Got it. So it sounds like you are really through all the technical or the engineering side of it. It is now more about just making sure that—yes, you have qualified those sources—but can you lock those down and be able to incorporate those in your products for, obviously, larger volumes?
Thomas Stepien: That is a good way to summarize it. The heavy lifting on the technical side is done, and now it turns over to our operational teams who need to do exactly that and get the supplies.
Eric Stine: Appreciate that. And then just maybe for my follow-up, saw the first Gauntlet Awards under the Drone Dominance Plan, and I know there were 25 awardees. I do not know if you are able to give specifics or any color around this, but of those 25 awardees, just kind of curious how many of those are your customers? How do you view that as an opportunity? And then obviously, just your outlook for the next steps under the executive order?
Thomas Stepien: Yes. The gauntlet one of the Drone Dominus program had 25 invitees. We should see here in the next couple of days the results of the actual fly-off that has completed. Our understanding is that it was done last week and there is a down-select going. We are all over that in terms of understanding where is Amprius Technologies, Inc. inside in each of the 25. We are looking forward to understanding the official down-select list that, again as I mentioned, should be [out shortly]. So that is where we are. Stay tuned on specifics. I think as that list is published, we may be able to talk about [more]. Understand there is a second, third, and fourth gauntlet, so this will happen over the next 18 months or so. This is early, but we feel good about where we are today.
Operator: Thank you. Our next question is from the line of Austin Volle with Needham and Company. Please proceed with your question.
Austin Volle: Hey, guys, thanks for taking my question and congrats on the great results. I just wanted to dive into the new customer wins. Historically, this was a metric you guys were giving. In the deck, it says that you are working with 550 customers. So, my question is, is it fair to assume you guys added over 100 new customers in the quarter? And then just trying to get a sense of where they are in volume production. Are we still kind of in the early design phase for the majority of these? When do we get to those high-volume production levels?
Thomas Stepien: It is fair, Austin, to assume that it is more than 100. It was 444 in the last call in November. You said 550. So yes, we continue to add to that. We have both repeat customers, of course, which is an interesting signal that we have earned the trust and can grow that, and we continue to expand the funnel with over 100 new logos. In general, the 100 new ones are new evaluations, right? Some of these are a couple of hundred cells for testing. They come from our Fremont pilot line, which is set up exactly to win these [programs]. So we keep track of those because we are planting seeds first. The average PO—we looked at that just the other day—during Q4 increased relative to Q3. Customers are purchasing larger volumes. But it is still early days here. You can obviously do the math on our revenue; we are at single-digit market share in these markets, and growing. So, it is early. We have a lot of work to do to capture what we believe is our fair share given our tech.
Austin Volle: Okay. Thank you for that. And just one quick follow-up. Looking at your guidance and kind of what is baked in from a geographic perspective—historically, Europe or international has been the main driver. Could you talk about what is baked into that and what we should be expecting from a regional perspective?
Ricardo Rodriguez: Yes, sure, Austin. We see a continuation of the same trends that we saw especially in Q3 and Q4, and are really waiting to see where the U.S. comes out in terms of enabling us to deliver additional upside. So, frankly, within the guide, we expect our mix to look pretty similar to where we were in Q2, Q3 of last year.
Austin Volle: All right. Well, thank you, guys, and best of luck for the rest of the year.
Ricardo Rodriguez: Thanks, Austin. Thank you.
Operator: Our next question comes from the line of Mark Schubert with William Blair. Please proceed with your question.
Mark Schubert: Tom and Ricardo, congrats on the great progress in 2025. Question about some recent geopolitics. The war in Iran—we are starting to see the U.S. drone warfare capabilities. But at the same time, we are starting to see some strain in the munition stockpiles. So I am wondering, in the past six days, have you had any increased urgency from any U.S. military defense contractors? Are they looking for you to ship more batteries yesterday?
Thomas Stepien: Yes. Over the weekend, we actually had one customer who themselves have a reconnaissance drone—tends to fly for hours and days at a time—that was a little bit on hold that is getting a pull themselves, which creates a pull for us. And that is where this pilot line we have here where, for Ricardo and I, are in Fremont and quickly do a student body right. Okay, let's make those in this one and eight cells. Deliver them quickly, i.e., in a couple of weeks, to that. So we are seeing some of that. It is hard to talk about more than that, just a single customer, but that is one data point to share.
Mark Schubert: The Nanotech partnership we thought was a creative solution to find some capacity. How much demand are you seeing from these super NDAA-compliant customers where they need U.S. manufacturing? And are you looking to find more creative solutions like another Nanotech, or do you think that the pilot line that you are increasing capacity in Fremont with the DIU investment will provide enough capacity later this year?
Thomas Stepien: Yes. The pilot line is well named because it is primarily to win initial designs. And once there is volume that is a couple of thousand cells, that is when we transfer to one of our partners. Nanotech helps us on cylindrical cells, and we are getting a really strong pull. I was at [customer meetings in] December. As the NDAA changes [rolled out], they are okay with some of the cells they are getting today from the countries and content today, but they really want to understand the when. We mentioned that earlier. So we share with them the roadmap—here is when we are really going to have volume from either Nanotech or others. And there will be more coming. That is clear. The pull is there. This will balance out in a couple of years. Some of our customers are insensitive to this, and Korea is serving that, as I mentioned. As we know, we have sales from Korea today, and some must have U.S. So it will balance out maybe one-third, one-third, one-third, in a couple of years, grading that transition.
Operator: Thanks, Tom. Your next question comes from the line of Colin Rusch with Oppenheimer. Please proceed with your question.
Colin Rusch: Thanks so much, guys. Tom, I would love to get a better understanding of what is happening here within the technology roadmap. Are these fundamental changes in some of the electrolyte and binder technologies or any of those separator technologies as you move towards these higher performance cells? And how mature is the testing process to give you comfort that you will be able to execute on these over the next 18 to 24 months?
Thomas Stepien: Yes. We think that—let's go inside the battery a bit. So the anode with our silicon design, which took us a little while to get right, we think is pretty strong. So the big question is, okay, why cannot we go above 450, 500—depending on the cell type—watt-hours per kilogram? Is that some of the other components, as you alluded to? Primarily on the cathode. So there are knobs being turned by our R&D folks. The thinking is that cathode may be slowing down the overall package. So there is some work being done. We had a Board meeting yesterday and shared our goals to the Board on specifics related [to that], and it is very focused on improving that. We are big believers you get what you measure. We are measuring our energy density inside. We are R&D focused on that. On the testing part, we feel pretty good. We have got a pretty robust system here at the small scale, the manual scale P&L, and then as these 30 different tools arrive, funded by the defense unit, that is getting stronger.
Colin Rusch: The performance that you are talking about here from a technology perspective is just fundamentally advantaged and looks defensible in a pretty material way. And the target market that you guys are looking at are so much larger than what it looks like the target is for 2030. So can you talk a little bit about the considerations around the pacing of growth, pricing and margin, kind of internal targets as you think about growing this platform and doing it sustainably? How should we think about the key gating items and how we should think about potential acceleration relative to those targets?
Ricardo Rodriguez: Yes, Colin. So again, I think this all really just starts with the technical performance that we are able to deliver. So in our view, if we deliver everything that is there on Slide seven, and the markets grow—maybe not even to the full extent, but half of what we have on Slide four—we look at some of the main drivers. And as we were looking at the markets, one element that people forget about: there is a bit of a replacement dynamic within some of these end applications. And then it really comes down to us leveraging the capacity that we have contracted, having that capacity in the right place, so that we can deliver the right cell at the right time from the right place. And, yes, when we look at it, I agree with you. I think that is why we have $600,000,000 plus. We will find out over time what capacity is needed in 2030. But with the way we are looking at the world today, I think this is, as you mentioned, pretty achievable.
Colin Rusch: Thanks so much, guys.
Thomas Stepien: Thank you, Colin.
Operator: The next question comes from the line of Ryan Pfingst with B. Riley Securities. Please proceed with your question.
Ryan Pfingst: Hey, good morning, guys. Thanks for taking the questions. Hey, Ricardo. Tom, you mentioned market share earlier. Could you frame how you are thinking about your aviation market share today, maybe for drones globally? Or if you could get more specific within military drones or advanced drones?
Thomas Stepien: Yes. Thanks, Ryan. It is, as we have said, single digits. These markets are large and growing. We have updated—and you see that on Slide four—our understanding that also goes into our 10-Ks. We are trying to really double-click on that for some of the specifics. Drone taxonomy is groups one through five. Okay, we know that batteries are used in one, two, and half of three. Not in four and five. How much of that is industrial versus defense? What is going on by region? DFR—drone as [first responder]. We have not yet found a good source for that double-click. We got the first click to understand as we present it, but our goal is to have more definition that we can have both internally and share externally. We have started—we have a good third party who is helping pull that together. But it is so early and it is changing so fast, right? This dominance program, the U.S. has admitted that, hey, we got to catch up. So what we have today is what we can share. We are not holding anything back, but we are certainly trying to get smarter and understand that better.
Ricardo Rodriguez: And Ryan, the point that we are trying to drive here is that our share depends on how you subsegment the market. In some cases, our batteries basically enable the duty cycle. By the time you power the drone, a camera, a gimbal, a radar, multiple sensors, you wonder how there is energy left in the battery to still make the drone fly a couple of miles away. And so we are seeing our share be pretty high on those drones that have a lot of other power-draining devices, while those more inexpensive drones—some of them are frankly using remote control car batteries—and therefore that is not a market for us to play in, even though the volumes are pretty high. So we do believe, just through process of elimination of the folks who are not yet customers, that we are positioned to do very, very well in that high power, high energy draw drones—tend to be the larger ones that are used for surveillance or more complex missions.
Ryan Pfingst: Got it. Appreciate that detail. And then just a follow-up on guidance. Could you give more detail around what is baked into the baseline revenue estimate, maybe what needs to happen to exceed it? And what your revenue capacity is roughly today?
Thomas Stepien: Yes. I will answer it sort of in reverse order. In our assumptions is what we see from current customers and some prospects that we are looking to convert here into customers in Q3 and Q4. Sort of going back to Austin's question, we still see the UAV market accelerating from being pretty well established in Europe. And what is not baked in fully just yet is any [incremental upside] that could come from additional drone production and sourcing here in the U.S. So in our guide, we are still assuming that the mix is meaningfully outside of the U.S. for 2026. And as I said, we will size the upside here as we deliver it because there are some pretty quick decisions being made on the U.S. side around what this demand could be. Alongside some of the calls that we got here this weekend and have been getting this week, we do see this evolving favorably from a demand perspective, but we want to size it with POs, not with some loose idea of what the pipeline is.
Ryan Pfingst: Appreciate it, guys. I will turn it back.
Thomas Stepien: Thank you.
Operator: The next question is from the line of Ted Jackson with Northland Securities. Please proceed with your question.
Ted Jackson: Thanks very much. I hope you can hear me—a xylophone band literally set up behind me in the airport while I was on this call. So it is really loud. I have got a lot of really nice ambient music for you. I had a couple of questions. So, a real simple one. You made a comment, if I recall, that your SiMax revenue has fallen about 60% of total—I guess, we are ongoing—and then you have transitioned your Gen One SiMax customers to Gen Two SiCore. So I guess my question is, what was the mix of revenue SiMax or SiCore coming into the year? What was it coming out? Where do you see it at the '26?
Ricardo Rodriguez: At the '26, we see it zero. And coming in it was about 25%.
Ted Jackson: Okay. Then my next question—with the NDAA compliance success that you have had, in terms of getting all your suppliers in place and your contract manufacturing in place—where do you think you stand in that process vis-à-vis the market as a whole? Do you think that you are on a path with everyone else or perhaps a few lengths ahead? And do you see the ability to get there first as a competitive advantage?
Thomas Stepien: Yes. So we think that we are near the front. It is hard to know whether we are at the front. Every battery manufacturer got the memo and is looking to serve. We tend to take “only the paranoid survive,” so we never really want to think of ourselves as being at the front. We are happy with our industry-leading advantage, etc. We are working hard. We have got work to do for sure. As I mentioned, there is more announcing here—work is underway. You can imagine that there is a lot of effort long before things get announced. So we are happy with where we are. We are very focused on making sure that we keep up with [demand] because it is [evolving quickly]. So happy, but work to do.
Ted Jackson: Okay. And then my last question—just looking over at Slide four over to the right where you have your OEMs and key market players. You have a lot of corporate logos up here. Have all of these logos in some form or fashion sampled or looked at the Amprius Technologies, Inc. product? Are they customers? How much do you give to someone with this—like, some of them you have clearly announced as customers, some we have not. Are these all people that you actually have kept making your battery in the past for some form or fashion?
Thomas Stepien: Yes. You are right. Some are customers. The title of that column on Slide four is appropriate, key market players. So some are customers that we can talk about publicly, some are potential customers where we are in testing, and other ones we have to earn their trust. So that is the mix that we have on that right-hand column.
Ricardo Rodriguez: But in general, these are all folks for whom it would be logical to buy cells from us. And they may have bought cells at low volumes for testing as well.
Ted Jackson: Okay. I will step out of line. Thanks very much and congrats on the quarter.
Operator: Thanks, Ted. Thank you. Our next question is from the line of Derek Soderberg with Cantor Fitzgerald. Please proceed with your question.
Derek Soderberg: Yes. Hey, guys. Thanks for taking the questions and my congrats as well on the results. First one on the Nokia—hey, the first question is on the Nokia Drone Networks. Is this sort of a single product win? Is it more of a platform win? Can you talk a bit about the unit volumes and ramp timing for that? And then as we sort of look into exiting the decade, can you sort of talk about how large the opportunity would be with the Nokia piece?
Thomas Stepien: We like Nokia, Derek, because it is a communications platform generally, right? Our understanding of this platform is that it is able to beam 5G signals to difficult-to-reach places where you cannot easily install cellular. It is a platform. If you talk to the Nokia guys, there is a lot of work that they have planned in the future, and they have their roadmap, of course. We do not tend to break out specific customer volumes and share those. We do like this because it emphasizes what we say—this espresso advantage. Nokia drones with our batteries can fly 40%, 50% longer, and other customers twice the flight time compared to standard batteries. That is what led them to us.
Derek Soderberg: Got it. That is helpful. And Tom, you have got a validated technology, hundreds of customers. You have been commercial for seven, eight years now with Fortune 500s. You really have had a head start, at least in the drone opportunity. How do you think you can best leverage that position to really accelerate the growth of the business?
Thomas Stepien: Yes. It is about execution on the operational side for sure—to get the customers what they want, when they want it, and from the right place. We are also investing into the customer-facing side of the house. We have added to our sales team. We have a pack partner program that is embryonic but growing. Some of our cells go directly to the folks who make crafts—products that fly or roll or walk around like robots do. Others go through pack houses, and those packs then go into those end-use products. So we are investing there for sure. We are investing in some of our internal processes. We want to be able to meet and exceed this demand that we see.
Derek Soderberg: Super helpful. Thanks, guys.
Operator: Thank you. Our next question is from the line of Chip Moore with ROTH Capital. Please proceed with your question.
Chip Moore: Hey, good morning. Thanks for taking the question. I want to follow up—actually, you brought up a good point on the replacement dynamic for batteries. Have you done any sort of analysis on what replacement can become as some of these markets mature, understanding that some of them are still pretty nascent? Where do you think that can go over time?
Ricardo Rodriguez: I think it can be pretty meaningful depending on the market. In eVTOLs, it could very well be even more than the initial install volume if these things are—almost the same way, if you look at jet engine manufacturers in planes today, the maintenance and the replacement of those parts within those jet engines make the Rolls Royces of the world more money than selling the jet engine the first time. And that is a dynamic that you obviously do not see in EVs because you hopefully do not have to replace the battery—you just replace the whole car. But in UAVs, in robotics, in eVTOLs, we are seeing a little bit of a razor–razor blade dynamic, where the replacement market could be even larger than the initial sale market. And so, of course, depending on what assumptions you have for that, you end up with completely different market sizing. There is also a lot of work that can be done here to develop a standardized battery pack, and so this is something that we think about pretty frequently. We are looking for the right way to frame this out for the industry so that we do not have customers pulling in different directions when the duty cycle and the requirements are pretty clear and where we can drive meaningful convergence.
Chip Moore: Yeah. No. That is helpful, Ricardo. And maybe just for my follow-up—appreciate all the new detail in the slides, great job. On the market slide, on Slide four—huge opportunities. What about opportunities outside of those core markets—fast charge and discharge capabilities, data center at the rack level, higher-volume electronics? Just maybe quickly address some of the adjacencies.
Thomas Stepien: Yes. We alluded to this in Slide seven. There is a little picture of a data center there for the high power cells. That is an opportunity. Another one that we are looking at are battery packs for military applications. So the average soldier carries over 100 pounds of gear, and the standard battery packs currently use standard lithium-ion cells. If we bring higher energy density, we believe that we can cut the weight of those packs in half, potentially even make them more powerful. And if you combine them with something like a supercap, you can even trim the upper bounds of power peaks that tend to degrade batteries further. So, theoretically, we could cut the weight of those things in half or double their capacity. Then at the same time, almost double the life of those battery packs, therefore reducing the need to replace them as frequently. So, outside of what we have in Slide four, high power cells for data centers are obviously a market. And then anywhere else where you are using a battery pack, particularly in military applications—looking to leverage some of the customers that we already have—those would be other ancillary opportunities.
Thomas Stepien: And maybe just to pile on, some of the characteristics that we show on Slide three are inherent with the silicon platform. Fast charge is up—and by the way, we also can charge a lot faster—and we have a wider temperature range. So we lead with our strengths—our only-ness is energy density, or metric density. But some of these other ones really help secure the win and secure the long-term relationships that we are building with customers.
Chip Moore: Excellent. Thank you very much.
Ricardo Rodriguez: Thanks, Chip.
Operator: Thank you. Our last question comes from the line of Amit Dayal with H.C. Wainwright. Proceed with your question.
Amit Dayal: Thank you, guys. Good morning. With respect to trying to bring manufacturing costs down or the price of the batteries down, do you have any room as you iterate on your side and how much of that may come from the engineering side from your end versus what the contract manufacturers can support you with?
Thomas Stepien: Yes. Certainly design is a big lever for sure. Volume plays a part also. As we get volumes up, there is some pricing that we see with the 11 suppliers we have. And then we are getting into that, as we mentioned, as we go full NDAA with the contracts and the negotiations with suppliers on the 11. So we are in the midst of some of that. But the good news is that volumes are increasing. That is a big lever. And then we will see that. When we do talk to customers and they are insisting on U.S., that is where this interesting dynamic comes in—where they want U.S., but they want pricing. So we tend to have a little bit of an arm-wrestle. But in general, we are happy with the margins we see. And you, of course, understand the guidance. I think we can get [there].
Amit Dayal: Understood. Thank you, Tom. And then just last one for me. In terms of your balance sheet, it looks really solid with over $90,000,000 in cash. It looks like at this point, you really do not need to tap the ATM anymore. Especially going into sort of a capital-light strategy with Colorado out of the picture now, what are the uses of that cash that we can think of that could maybe accelerate sales or product development? Any color on that would be helpful.
Ricardo Rodriguez: Yes. I mentioned in my remarks, Amit, with the current balance sheet, we are really only looking to fund working capital. As I mentioned, our CapEx will be funded by the DIU here in Fremont. Any little bit of incremental CapEx that could be needed at the contract manufacturers to accelerate production if demand ramps up even beyond our expectations will also be funded by the balance sheet. We are also looking at putting in place a working capital line with some of our banking partners to further scale the balance sheet. And then, yes, as you mentioned, earlier this year we put out an announcement saying that we are basically done with the ATM. I think the ATM did its job over the last two years. And right now, as you mentioned, the balance sheet is solid. We think our current strategies are more than fully funded.
Amit Dayal: Understood. Thank you, guys. That is all I have.
Thomas Stepien: Thanks so much. Take care, Amit.
Ricardo Rodriguez: Thank you.
Operator: This concludes our question and answer session. I will now turn the floor back to management for closing comments.
Thomas Stepien: Thank you so much for joining us on the call. Stay tuned. We look forward to meeting some of you on the road here as we attend a couple of Investor Relations events. Be well, and thanks for your support.
Ricardo Rodriguez: Absolutely. As we talked about, 2025 was a great year. We think 2026 can be even stronger as we play to our strengths—our energy density—and continue to push new products, expand our portfolio, respond to the country of origin requests. We are in a fortunate position. We are certainly in it to win it, and we appreciate your support.
Operator: Ladies and gentlemen, this will conclude today's conference. You may disconnect your lines at this time and have a wonderful day.